Operator: Greetings, and welcome to the KLX Energy Services' Fiscal First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ken Dennard. Thank you, Ken. You may now begin.
Ken Dennard: Thank you, Operator, and good morning everyone. We appreciate you joining us for the KLX Energy Services conference call and webcast to review fiscal first quarter 2021 results. With me today are Chris Baker, KLX's President and Chief Executive Officer; and Keefer Lehner, Executive Vice President and Chief Financial Officer. Following my remarks, management will provide a high-level commentary on the financial details of the first quarter and the outlook, before opening the call for questions and answers. There will be a replay of today's call that will be available by webcast on the company's Web site, at klxenergy.com. There will also be a recorded replay telephonically until June 17, 2021. And more information on how to access these replay features, they were included in the yesterday's earnings release.
Chris Baker: Thank you, Ken, and good morning, everyone. Thank you for joining us today for KLX Energy Services' Fiscal First Quarter 2021 Conference Call. I'll begin by providing an update on the broader market environment, as well as some of the significant themes impacting our results during the quarter. I will then turn the call over to Keefer to review our financial performance, before returning for some final comments on our outlook and strategy. As the global economy reopens post COVID-19, the market continues to improve, from both a macro supply-demand perspective, as well as from a U.S. onshore activity perspective. For the fiscal first quarter ended April 30, both WTI prices and rig counts were up roughly 21%. And the rig count currently sits at approximately 10% above the Q1 average. Additionally, the U.S. frac spread count increased approximately 24% during our fiscal first quarter, ending with roughly 212 frac spreads running in the U.S. With that said, our customer base continues to focus on capital discipline and returning capital to shareholders. While we are seeing very evident signs of meaningful market improvement, we also found ourselves in a difficult transitory period, in which some of the crosscurrents we mentioned during our prior call weighed on our Q1 results. Revenue and margins were impacted materially by seasonal weather issues, Winter Storm Uri, as well as material customer scheduling and well issues, particularly in the Rockies. We lost approximately seven-plus revenue days due to Winter Storm Uri alone, which coincided with us staffing up to service the increased activity levels expected in March and April. So, there was significant negative operating leverage associated with the foregone revenue. Despite the aforementioned headwinds experienced in Q1, our revenue improved 5% sequentially, to approximately $91 million.
Keefer Lehner: Thank you, Chris. Let me begin by discussing our first quarter 2021 consolidated results. For the first quarter ended April 30, 2021, revenues were $90.8 million, an increase of $4 million, or 5% as compared to the revenue for the fiscal fourth quarter of 2020. Once again, the revenue increase reflected the impact of improving market activity across two of our geo markets and multiple product lines, particularly the Southwest segment up 26%, driven by our directional drilling, coil tubing, and rentals product lines.
Chris Baker: Thanks, Keefer. Looking out over the oil and gas horizon, we see widespread evidence both domestically and overseas that the macroeconomic fundamentals are becoming increasingly favorable, which has been and should continue to drive a supportive commodity price environment for the OFS industry. The vaccine rollout, additional government stimulus, the stronger economic activity, as well as declining crude stockpiles and OPEC+ production discipline have laid a solid foundation for growth in the U.S. onshore space. With this encouraging backdrop, why has profitability in the oilfield services industry lag. As we said before, the fragmented nature of the industry as well as the oversupply of vital equipment available severely constraints potential pricing power, this means that we seek to protect our profits primarily using the other lever available to us that is continued productivity improvement via consistent utilization and expense reductions. On that front, we have been extremely successful attaining an additional $4.4 million in fixed costs savings over and above the $46 million we achieved last year. So given our history of aggressively pursuing greater efficiency and lower costs, I'm confident that we have a good handle on how to leverage our resources and operate with as lean a cost structure as possible. In the interim, we are focused on pushing the other lever pricing, where it is economically feasible to do so. Our efforts to affect pricing changes in the last few months equates to an approximate $9 million annualized uptick in revenue. While we're making progress, the majority of the benefit of higher commodity prices as crude to our EMT customers and their shareholders. This leads me to reiterate the margins for the service companies remained unsustainably low and the industry remains out of balance from a competitive standpoint. This logically leads you back to consolidation, which is the corrective measure, needed to bring things back into balance. Consolidation remains a critical strategy component for both KLX and the industry as a whole. KLX successfully completed a merger and remains well positioned to continue to lead and are participate in the effort to consolidate the OFS industry.
Chris Baker: Thank you, Operator, and thank you once again for joining us on this call today, and for your interest in KLX Energy Services. We look forward to speaking with you again next quarter.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's conference. You may disconnect your lines, and have a wonderful day.